Operator: Welcome to the RWE conference call. Markus Krebber, CFO of RWE AG, will inform you about the developments in the first three quarters of fiscal 2019. I will now hand you over to Gunhild Grieve. [Technical Difficulty]
Gunhild Grieve: Okay. Thank you very much, and sorry from our side as well. Hello to everyone on the phone and to those who are joining us via webcast. I'm joined here by Markus Krebber for the presentation on the first nine months of 2019. We already announced the required reporting changes after closing one of our asset swaps with E.ON. Since E.ON's renewables business only contributes to the IFRS figures from 18th September onwards, we will concentrate on RWE standalone until year-end when it comes to income statement and cash flow. However, with regards to net debt, we already reported the combined figure for the new group. We also provided you with details on the pro forma EBITDA for the new renewables business as it will be reported from next year onwards. Furthermore, we have now also published the detailed generation data for renewables on a pro forma basis on our website. Let me now hand over to Markus.
Markus Krebber: Yea. Thank you, Gunhild. And a warm welcome to everyone. With the final clearance from the European Commission of our transaction with E.ON, we have executed large parts of our asset swap. The transfer of E.ON's renewables business formed the basis to start the renewables operations at RWE. While innogy's renewables business is temporarily at E.ON, it is managed by two designated board members of RWE renewables – Holger Himmel, the designated CFO; and Sven Utermöhlen, designated (Technical Difficulty) I think we better clarify whether we are on air or not before we continue. So, sorry for the inconvenience. But I think it doesn't make sense to continue until we have solved the technical problems from the operator.
Operator: We are currently working on it. There's nothing else I can do. I'm currently working on stopping the prompt. I really am sorry about the inconvenience.
Markus Krebber: Yeah. But what does it mean? Can we – are we on air? Or can nobody hear us?
Operator: We're live right now. People can hear you.
Markus Krebber: Oh, okay. Good. Then I continue and maybe we are sometimes interrupted by an annoying announcement. So, let me repeat the last one. While innogy's renewables business is temporarily at E.ON, it is managed by two designated Board members of RWE renewables – Holger Himmel, the designated CFO, and Sven Utermöhlen, designated COO, Global Offshore of RWE renewables. The other renewables board members are already in charge for the business at RWE. We have already started to coordinate financial and strategic planning for the combined business. We also made progress in our growth plans for renewables. In September, innogy was successful in the CfD auction with its 1.4-gigawatt offshore wind project, Sofia and we also announced the acquisition of a 1.5-gigawatt offshore wind pipeline in Poland and the signing of partnerships in Japan, together with the opening of our office in Tokyo. With the new strategic direction, we also introduced ambitious CO2 reduction targets, which are at the center of our purpose Our Energy for a Sustainable Life.  This all rounds off a very good performance in Q1 to Q3, with an adjusted EBITDA of €1.5 billion on the back of an extraordinary Supply & Trading performance. In view of the good news from the UK regarding the reinstatement of the capacity market, the new scope of the group as well as the continued strong trading performance, we revised our outlook for the full year. With our new strategic direction, we have also set ourselves the ambitious target to become carbon-neutral by 2040. At the center of our CO2 reduction plan is a gradual and responsible phaseout of coal-fired generation. In Germany, this involves implementation of the recommendations of the Commission for Growth, Structural Change and Employment. In the UK, we have decided to our shut our last coal-fired power station in March 2020. And in the Netherlands, we convert our hard coal plants to co-fired biomass. Let me remind you that we have already achieved a reduction of one-third or 60 million tons of CO2 between 2012 and 2018. Let's turn to the development of our adjusted EBITDA. For RWE standalone, it amounted to €1.5 billion on the back of an outstanding trading performance and a strong gas and LNG business. Despite lower generation volumes, earnings at Lignite & Nuclear are on a level with previous year due to higher realized generation margins. Earnings of the European Power division suffered from lower production volumes and weak commercial asset optimization. Also, the missing payment from the suspension of the capacity market in the UK played a part. Adjusted EBITDA included the innogy dividend of €700 million, which we had contractually agreed with E.ON. Slide 6 provides the performance details of the Lignite & Nuclear division. Year-on-year, the production volumes came down, driven by the restriction at the Hambach mine and outages, among other things. However, slightly higher generation margins have been realized and led to a solid earnings contribution. The Q1 to Q3 result was, therefore, as expected on par with the previous year's level. The increase in depreciation is mainly influenced by the discounting adjustments for nuclear provisions, which lead to higher asset values for the operating plants as well as changes from the application of IFRS 16. The increase in CapEx results mainly from an exploration of relocations in the mining area as well as increased plant maintenance. The full year outlook includes approximately the acquired nuclear minorities for the fourth quarter of approximately €35 million. We confirm the outlook for an adjusted EBITDA of between €300 million and €400 million. The European Power division realized an adjusted EBITDA of €130 million. Lower production volumes and weak earnings from commercial asset optimization impacted the performance of this segment. Compared to the first nine months of last year, we also lapped €47 million of capacity payments in the UK. Speaking of which, we welcome the decision by the European Commission to reapprove the British capacity market. It's a confirmation by bias of its intention to resume the suspended payment. We updated our guidance and now include the income from it. As a reminder, we secured capacity payments of about €180 million for fiscal 2019 and also have about €50 million outstanding from the first quarter of 2018. We, therefore, expect this segment to come out between €450 million to €550 million for the full year. Now to our current hedge position on slide 8. The minority stakes in our two nuclear plants, which we received as part of the transaction, are now reflected in the generation volumes. For our outright position, we increased the hedge position for more than 60% to more than 80%, mainly via implicit fuel hedging in 2022. In the year 2021 and 2022, average hedged power and carbon prices rose to the same extent. Therefore, the achieved margins have not changed. The development of fuel spreads, which are relevant for our hedged prices on the previous slide, underline the stable margin development. Fuel spreads developed mostly sideways over the last three months. Moving on to the earnings development of the Supply & Trading division on slide 10. The segment continued its good run and contributed an exceptional EBITDA of €545 million at the end of Q3. Compared to the same period last year, we saw an outstanding trading performance over all desks and the strong contribution from the gas and LNG business in the first nine months. We confirm our outlook for the division being significantly above the €300 million mark. Ladies and gentlemen, slide 11 provides the earnings drivers down to adjusted net income. Our adjusted net income amounted to €855 million after Q3 2019.  Besides the typical adjustment of the non-operating result and the corresponding tax position, we have many corrections in the financial result stemming from changes in discount rates for long-term provisions and the application of IFRS 9. In addition to deferred taxes, we had adjustments of provisions for tax and tax refunds for previous periods. Moving on to our distributable cash flow on slide 12. The distributable cash flow amounted to €585 million after the first nine months, which is on a comparable level to the previous year's period. The higher adjusted EBITDA was contrasted by higher CapEx as well as changes in provisions and other non-cash items. Regarding the latter, we confirm our expectation to reach a level of approximately €500 million for the full year. There is still a timing effect from CO2 provisions in the first nine months as all CO2 provisions for the full year are used in the second quarter, while the buildup takes place over the course of the year. Although we see the full-year 2019 positive effect in change in working capital from the reversal of the high level of accounts receivables at the year-end 2018, we now expect to end the year at around zero. This is due to the fact that we will receive the back payments from the GB capacity market only at the beginning of 2020, while they will be already reflected in adjusted EBITDA of 2019. Turning to the details on the development of net debt. As mentioned by Gunhild earlier, with the changes to our accounts after closing large parts of the transaction, we show now, for the first time, net debt for the new group. For better comparison with our previous reporting, we have put together a reconciliation of net debt from RWE standalone to RWE Group. Net debt for RWE continuing operations stood at €10 billion at the end of Q3 2019. The transaction effects added €4.6 billion, which include additional provisions, tax equity liabilities, the cash payment to E.ON of €1.5 billion as well as €0.5 billion of lease liabilities. We expect another approximately €200 million of tax payments in relation to the asset swap, which will bring the total impact on net debt from the transaction exactly to our guided figure of around €4.8 billion. Since we continue to consolidate the innogy assets, which will be transferred back to RWE, we do not expect any further material effects on our net debt from the full execution of the transaction with E.ON. Besides the transaction, another reason for the increase in net debt was the outflow of variation margins due to the realization of the underlying transaction, for which we have received variation margins in previous years. In addition, we saw an increase in provisions following the further decrease in discount rates, especially for pension liabilities. For year-end, we currently expect net debt to stay around the current level, assuming no further changes in the commodity and interest environment. Before we move to the outlook for the group, let us take the opportunity to have a first look at the pro forma EBITDA for fiscal 2019 for RWE renewables. To arrive at the right earnings levels for the future segment of RWE renewables, a few adjustments to the scope and consolidation methodology of innogy's and E.ON's former renewables business need to be taken into account. From E.ON's renewable portfolio, we have to deduct the assets remaining at E.ON, which includes mainly the onshore wind park of e.dis as well at a 20% stake in the offshore wind farm, Rampion. Since our stake in Rampion is therefore only 30%, we also have to move to equity consolidation. While this has a measurable effect on EBITDA, it does not impact net income as we do not have to show any depreciation or minorities for this asset. When it comes to innogy's renewables portfolio, we have decided to transfer the hydro and biomass activities to European Power, reassigning approximately €100 million. Considering all these effects, we expect the pro forma adjusted EBITDA for the new renewables segment to range between €1.3 billion and €1.5 billion for 2019. Looking beyond EBITDA, the transaction will influence future depreciation levels due to the purchase price allocation and the harmonization of depreciation periods for our renewable assets. We can confirm previous statements that the impact will be approximately €100 million. Moving on to the outlook for fiscal 2019, due to the re-approval of the British capacity market as well as the continuing good trading performance, we now expect adjusted EBITDA of €1.8 billion to €2.1 billion and adjusted net income to reach between €0.9 billion and €1.2 billion for RWE standalone. At group level, we also introduced an outlook for the acquired operations from E.ON of €200 million to €300 million, reflecting the earnings for the period between transfer of the assets in September and year-end. For the RWE Group, we now forecast adjusted EBITDA to range between €2.2 billion and €2.5 billion. Furthermore, we confirm our target to pay a dividend of €0.80 for fiscal 2019. With this, I conclude my remarks. And I'm happy to take all your questions.
Gunhild Grieve: Thank you, Markus. And with this, we would like to hand over to the operator to put through the first question.
Operator: [Operator Instructions]. The first question in the queue comes from Alberto Gandolfi from Goldman Sachs. You're now unmuted. Please go ahead.
Alberto Gandolfi: Thank you. And thanks for taking my questions. Good morning. The first one is on the renewable guidance on slide 14 that you provided. So, I guess, the question is there is probably a difference in scope versus just simply taking innogy renewables and E.ON renewables. There's probably €240 million, €250 million annualized. But one thing I was doing is that, in H1, innogy renewables plus E.ON renewables gave nearly €900 million of EBITDA. So, €881 million, I think. If I strip out the six months contribution from hydro, biomass, Rampion, probably the first half would be €760 million. Now, considering ongoing capacity additions, rule of thumb historically would be to take the first half, multiply by two, add a little bit. So, I'm quite surprised that your guidance doesn't come at €1.5 billion or higher. So, what I was wondering is, are you seeing a problem with those factors or is it simply the case that you expect most of the capacity additions for 2019 to happen very late in the year, say, December, which probably means that next-year numbers are actually okay on renewables. Maybe there's, I don't know, €300 million EBITDA growth, but this year is a little bit impacted by timing effect. Or is there something more underlying, more structural that maybe I'm missing? So, a bit convoluted, but I hope these are the moving parts. Very specific clarity on this would be highly appreciated. The second question is, can you perhaps tell us what is the D&A line associated with that EBITDA for the renewables? Ideally, more in general, what is the D&A step-up for the integration of the deal pro forma use for 2019, including assets write-off and PPA. That will be really helpful. Thank you so much.
Markus Krebber: Thanks, Alberto. I'm reluctant to give now guidance for next year. And please understand that because we are now in the midst of going through all the portfolios and decide what we're going to do next year, and that I have preliminary hypotheses, but I think it's not the right thing to do it now. We will do that when we have full clarity at the Capital Markets Day. And now, the speculation where year-end will end up this year, given your calculation how the first half year would look like is also speculation about Q4. You're totally right that there is no – there are two material effects. One is that we exclude – or better yet, we exclude those assets on the renewables side which are not coming to us, which stay with E.ON. And this is the only thing where when you add up the innogy and E.ON renewables business on a standalone basis before the transaction, we lose some value. The rest is pure, let's say, presentation of figures because we move €100 million into another segment. And we have the consolidation effect of Rampion, which is also close – very high two-digit number, which has no material effect, no effect at all on net income. It's still the same adjusted net income. Of course, when you look at – and we do the same, when you look at current expectations for the businesses, they were a bit higher than the average of the €1.4 million. What we are not doing is we are not guiding now that we're going to reach the midpoint of the €1.3 million to €1.4 million. It's just a mechanical exercise, how we came to the figures. So, also, the ingoing figures of E.ON and innogy are not our figures. These are just figures we got from the businesses when they were at E.ON and innogy. Now, capacity additions. Yeah, there are coming some projects later this year, early next year. Now, to answer your question, I would need to understand what was your original expectation. That is an exercise we cannot do now. But, overall, the assumption that [indiscernible] the second half of the year would make as much as the first half of the year is not a totally invalid one. Depreciation and amortization for the renewables business. So, the isolated effect on depreciation and amortization from PPA and harmonization of accounting depreciation period is around €100 million. This is the isolated effect on depreciation, amortization.  We have other effects because now, on Rampion, we don't show additional depreciation anymore because it's already reflected in the EBITDA when we moved from full consolidation to an equity consolidation. So, there is a lower depreciation on that. There is also lower interest payments because of project finance and there's also lower taxes and lower minorities. So, net income is the same for Rampion than it was before. The only open question and, therefore, we can definitely not give guidance today is what is the earnings increase from this year to next year. And to round the entire topic about the uncertainty about the renewables business up now is your question, which I highly appreciate. You can also take another view, that you – when you take next year's average guidance, you actually need to deduct around €200 million to make it like-for-like comparable because €100 million will be shown in a different segment and around €100 million is the consolidation effect on Rampion.  So, from the guidance, as you have currently understood the business, you need to deduct €200 million without any lost value for RWE to make it comparable to how we will present the numbers from next year onwards because of hydro, biomass going into another segment and the not full consolidation of Rampion.
Alberto Gandolfi: Thank you.
Gunhild Grieve: Thanks, Alberto. Next question, please. 
Operator: The next question comes from the line of John Musk from RBC. You're now unmuted. Please go ahead.
John Musk: Yes. Good morning, everyone. Two questions from me. And sorry, coming back to the slide 14, first. You just mentioned to Alberto there that the numbers, the starting points from innogy and E.ON came from the individual companies. I was slightly surprised with the E.ON number in particular because if I look at the latest consensus provided by them, that's actually €980 million of EBITDA for renewables. So, it would imply that, potentially, they're downgrading market expectations for that business. I don't know whether that's something you can comment on. And then, secondly, on the, obviously, the very positive result in Supply & Trading. Is there anything that you've seen this year that makes you think your previous guidance on profitability for that division will change going forward or should we be going back to more normalized numbers?
Markus Krebber: Yeah. Thanks, John, for the questions. On the first one, the €980 million, my understanding, this was not the guidance of E.ON. It was the market expectation, so the consensus. So, it's more the question whether E.ON should have or have done anything to correct the guide. Well, the only thing I can tell you, we are not surprised by the development of the E.ON renewables, how they perform. So, they are actually performing as we have assumed. What has been done on the E.ON side in order to guide, I don't know, right? So, we are not surprised. On the Supply & Trading side, we put on the slide the number €250 million as an expectation for the next year and the coming years. That may be on the conservative side, but it is a volatile business. And in the end, the opportunities for the traders, how much money they can make also depend on how volatile, how imperfect are the markets because you always need, as you know, arbitrage opportunities in our business. So, if market is priced correctly, there is no opportunity to make money. So, it depends more on how the market is actually priced.  The more structural breaks are in the markets, like coal exit in Germany or other things on the gas and CO2 side, of course, the more opportunities you have. And, of course, there is maybe a view that that might continue in the future, but then you also need to write a fundamental analysis to capture all the money. Fortunately, we did it this year. We will not adjust our guidance. Maybe I have slightly higher internal expectations, but definitely, we don't increase our guidance.
John Musk: Okay, thank you.
Gunhild Grieve: Thanks, John. Next question, please.
Operator: The next question comes from the line of Peter Bisztyga from Bank of America. You're now unmuted. Please go ahead.
Peter Bisztyga: Yeah, good morning. So, just a sense – coming back to this renewables issue. Actually, if I look at E.ON's guidance for Q2, they were saying that, effectively, second half of the year would be flat on EBITDA, so that takes you to about €930 million of EBITDA for the full year. So, it does look like the range that you've provided on slide 14 is perhaps tracking sort of a bit lower than that, the midpoint. But notwithstanding that, I was just wondering if you could comment on how wind speeds have been, I guess, in Q3 and what you've seen so far in Q4? Are we in a normal wind half or are we actually sort of tracking a bit below normal, and therefore, that could be like something that's a positive delta for next year? And then, my second question, on your hedging. Baseload power prices were sort of flat to down, if anything, in Q3. Fuel spreads, you said on the call, traded sideways. I'm just wondering how then you managed to increase your hedged prices by €1 to €2 per megawatt hour for 2021 and 2022. Thank you.
Markus Krebber: Peter, thanks. Thanks, first of all, for clarifying that actually our range here is – E.ON's old guidance is in our range. And now, let's see where the business ends up at year-end, which also – one important factor is, of course, wind speeds in the fourth quarter, which is the most important quarter in the year. And answering your question, what we have seen in Q3, what we have seen in Q3 is that wind volumes and speeds in the southern parts of Europe were a bit higher than average. In the northern part, it was a bit lower than average. Of course, we have more installed capacity in those markets where it was slightly below average. But it was more to normal than in the first half of the year. On the hedging side, it's more a mechanical effect. There was no miracle or wisdom behind it because, simply, when we now close the positions, the open positions we have also on the implicit side, then you roll in higher power prices but also higher carbon prices. So, the spread actually stays the same. But, over time, with the increased prices, we roll in higher power and higher carbon prices but without changing the spread. So, even if nothing moves from to date or from Q3 and onwards, you will see, when we close the position, higher power and higher carbon prices but the same spread.
Peter Bisztyga: Okay, thank you.
Gunhild Grieve: Thanks, Peter. Next question, please.
Operator: The next question comes from the line of Wanda Serwinowska from Credit Suisse. You're now unmuted. Please go ahead.
Wanda Serwinowska: Good afternoon. Wanda Serwinowska, Credit Suisse. Just one question from me on the renewables growth in Germany. I saw some headlines on Reuters saying that you see a sluggish offshore wind expansion in Germany. And you're saying that onshore is not – also the expansion for onshore is not as good as one could expect. So, how [indiscernible] is the onshore, offshore market important – how important it is for the RWE renewables portfolio?
Markus Krebber: You're touching up on an important point, which is the energy policy and the framework. And, of course, there are some question marks behind especially onshore. In the new proposed law, which also covers the hard coal exit, they have now increased the target for offshore in Germany, which is, of course, very helpful also for us. But they have set the minimum distance of new onshore installation to residential areas to around 1 kilometer, which rules out many areas in Germany for onshore wind, which is, of course, problematic. But there is currently an internal discussion in the government because it was only a draft by the Ministry of Economic Affairs. There is now strong opposition from other ministers. Let's see where that goes. But, of course, any kind of support in Germany for more wind is very beneficial for our position and our future growth prospect. But we don't depend on Germany. As I have said, most of the pipeline enhancement we have seen over Q3, no, everything was outside Germany. So, currently, in Germany, we have still Kaskasi, which is a relevant investment in front of us. We also expect more onshore wind to come into our portfolio over the next couple of years. Of course, there are still projects in the pipeline in very late stage. It was just only delayed in Germany because processes took longer than expected. But, overall, if the German government, and I have no doubt about it, is serious of reaching 65% renewable penetration by 2030, we need significant more wind offshore and as well onshore, and that should benefit us.
Wanda Serwinowska: Thank you. Just one quick follow-up. Would you be able to give us the number of gigawatts that you have under development or under construction in Germany?
Markus Krebber: I think we have not splitted it in the different countries yet.
Gunhild Grieve: No, not yet. But under construction, as far as I know. We have nothing at the moment. And as Markus mentioned, Kaskasi is the offshore wind project where we have received – or where innogy has received a feed-in-tariff or was successful in the auction. And there, we expect FID at some point next year.
Wanda Serwinowska: Thank you very much.
Gunhild Grieve: Next question, please.
Operator: The next question comes from the line of Lueder Schumacher from Société Générale. You're now unmuted. Please go ahead. 
Lueder Schumacher: Good morning. Good afternoon. A couple questions from my side. One is, going back to Rampion. We've got the number of ROCs they get at the market price. Could you give us an indication of either how much EBITDA we should expect from either 100% of Rampion to come in the year or – if you prefer to answer this in a different way – how much of equity consolidated income should we expect from Rampion in a financial year? I'm not sure if you said very high double-digit number. Are we getting towards €100 million or closer to €70 million? Any kind of idea there would be appreciated. Then I've got two more questions on our previous favorite slide, slide 8, with all your hedging volumes. It appears to be that your volume assumptions for outright have gone up. With H1 results, you just said 65 terawatt hours. Now, it has become 65 to 70 terawatt hours. Just wonder where the extra volumes are coming from. Is it kind of Hambach-related? Any kind of resolution? Just wondering about that. And also, on the same slide, you used to be a bit more detailed in your disclosure as far as the average hedged CO2 prices. This now appears to have disappeared. Is that something you would go going forward? Or just wondering why this visibility has disappeared?
Markus Krebber: Yes. Lueder, thanks for the question on Rampion. I have to admit I don't have the number at hand currently. And we will check whether we are willing to guide individual project on EBITDA on net income level. On the hedging slide, the additional volumes are stemming from the nuclear minorities we got from E.ON, which is around 5 terawatt hours per annum. Of course, a bit lower in 2022 because we closed Gundremmingen B end of 2021. But this is the reason for the increase. So, the nuclear minorities of E.ON are now included. The CO2 prices are still on the slide. I think the team has changed the layout a bit or the color. So, you have – above the bars, you have on the left-hand side, the power price. On the right hand side, the CO2 price in orange.
Lueder Schumacher: Yeah, got it.
Gunhild Grieve: Thanks, Lueder. Next question, please. 
Operator: The next question comes from Deepa Venkateswaran from Bernstein. You're now unmuted. Please go ahead.
Deepa Venkateswaran: Thank you. So, my two questions, actually, to take a break from renewables, could you maybe update a little bit about what you – if you could provide an update on the lignite discussions going on with the government and where you see to reach by year-end and also into next year? And my second question is indeed back to renewables. Would you be able to say if there are any minorities that your income statement will be impacted by because of the renewables business being consolidated? And did I hear correctly that you said that you need to increase depreciation by €100 million to impact for this purchase price allocation?
Markus Krebber: Yeah. Deepa, you are right. We have €100 million additional depreciation from PPA on the renewables side. On the minority side, maybe to have some more clarity there, we are willing to give a number because, in total, for the group, from – in next year, we expect minorities – now that we have Rampion at equity consolidation. So, total minorities for the group will be below €50 million only. So you see very, very little minorities being left, especially from the renewables business. So, below €50 million for the entire group. On the coal exit, I have to disappoint you. The only thing I can confirm, but there is also broad speculation in the German press, the discussions between the operators and the government have now significantly accelerated. You have seen the first draft flow for the coal exit. In terms of content and timeline, due to confidentiality reason, I cannot comment today.
Deepa Venkateswaran: Okay.
Gunhild Grieve: Thank you, Deepa. Next question, please.
Operator: The next question comes from Sam Arie from UBS. You're now unmuted. Please go ahead.
Sam Arie: Hello, good morning. And very good afternoon for those of you it's the afternoon. I think I just wanted to spend another moment on this page 14 because that seems to be where all the attention is today. And I'm still not 100% clear about why we have what looks like a little bit of a downside to price on this page. And I think everyone's got a different way of looking at it, but it seems to me that your left-hand bricks on the chart on page 14 add up to an expectation that's about in line with where many of us were for innogy and E.ON renewables this year. But the kind of implication of the chart is that, that's a level including Kelag and gas storage because those bricks then gets divested later on as you move through the waterfall. So, it's the equivalent of saying expectation on renewables is a bit lower by an amount that's equal to Kelag and gas storage, so maybe almost €100 million. And I just, at the high level, still can't quite tell whether that's an overestimate that we have made and we will need to come down by that amount or whether those are sort of the short-term factors that impact the second half.  Obviously, you get to about the starting point on the left-hand side just by doubling the H1 numbers, as a few people pointed out, from the renewables divisions. So, I wouldn't mind just another quick comment there. And then, I think my second question is, obviously, a chance to talk to you now since you've had full sight of these businesses. And I know I think RWE is very happy with the deal that's been done. But can you just spend a moment to talk to us about what you found now you've got a much better, more detailed visibility. Are you generally finding that everything is in line with the assumptions you made outside in? Or are there positive surprises in there or are there other things look a bit more difficult than you thought at the time the deal was struck? Thank you.
Markus Krebber: Yeah. Sam, thanks for the question. On the latter one, we will give full detail on what we actually found, and more important, what we plan to do with the combined business next year. But what I can confirm, after having done the most – on the most material side post-closing due diligence, we have not found any negative surprises yet. On the first question, guidance, I actually cannot reconcile your figures. Because I think it was Peter who made clear that the guidance of innogy – of E.ON was, the last one, €930 million. So, it is within our range, €850 million to €950 million we have presented on the slide. The last consensus for the innogy renewables business, I just looked it up, I got it from the team, was around €770 million, €770 million. If you add the Kelag and gas storages, it's exactly in the midrange of €800 million to €900 million. So, from all the guidance we now give and what the companies have given before and the figures we made transparent on Kelag and gas storage, the outgoing position on the left-hand side shouldn't surprise anybody.  And then, we have two sorting measures. The one sorting is €100 million to European Power and one is EBITDA is lower because no full consolidation of Rampion, but this has no impact on net income.
Sam Arie: Yes. Okay. So, thank you for your answer on the first point. On the chart – look, I don't want to get into a debate on sort of interpretation, but I hear your point. Maybe just one small further question is the implication of some of this also implies that the e.dis renewables assets, they're not coming to you. Take out, I think, something around €40 million which maybe something that isn't in consensus. I don't think we've had the sort of guidance on that number before. Is that about the right quantum for e.dis?
Markus Krebber: I think we are not willing to give exact numbers, but it's a mid-double-digit number. So, you are not far apart, maybe a bit, bit higher.
Sam Arie: Okay. All right. Well, thank you very much.
Gunhild Grieve: Thank you. Next question, please.
Operator: The next question comes from the line Elchin Mammadov from Bloomberg Intelligence. You're now unmuted. Please go ahead. 
Elchin Mammadov: Hi there. I have two questions. The first one is on renewables. There was a lot of talk during this earnings season during the – about the blockage and wake effects. I was just wondering whether it was – there's any impact on – do you see any impact on the future bidding at the next project and whether it's something that you experienced in the past or your assumptions about load factors haven't changed at all? And the second one is on Claus C. We've seen news coming out of the Netherlands that they don't want to let you build the link to Belgium. If you could update us on what's the current situation and what your plans are, that will be great. Thank you.
Markus Krebber: Yeah. Let's start with Claus C. It is still the intention to connect Claus C to the Belgian grid. We, therefore, need, of course, approval for – first of all, a capacity market in Belgium, but that looks promising, and also all the necessary approvals from the Dutch side to do that. I think there was an overinterpretation in the press of how the situation looks like. Of course, there are ongoing discussions, but we are not aware of any relevant opposition. So, we think we can go ahead with our plan to connect it to the Belgium grid. And the other one, on wake and blockage, I can now say we – so we talking for the innogy and E.ON renewables team – have accounted for wake losses for many years. Blockage effects were first identified, I think, recently. But, of course, the teams have done ongoing studies and calculated these effects and also taking into account industry-wide knowledge and – but also own intelligence. We have in recent bids like, for example, Sofia incorporated the wake and blockage effect as we currently expect them. And so, we don't expect any negative impact on the IRR of the recently won project. And we also do not see any expected material impact on our production plans. There was a continuous incorporation of the effects into the plan and especially into the bidding processes. So, please don't expect any negative surprises from these effects on our site in the future.
Elchin Mammadov: Fantastic. Thank you.
Gunhild Grieve: Thanks, Elchin. Next question, please.
Operator: The next question comes from the line of Alberto Gandolfi from Goldman Sachs. You're now unmuted. Please go ahead. 
Alberto Gandolfi: Apologies for violating the two-question rule, but considering it's just a follow-up from what Peter interestingly asked earlier, lignite. So, slide 8, Markus, maybe I got it completely wrong, so please shut me off if that's the case, but I thought you were saying something like spreads remain constant because both prices and carbon hedges go up. However, from 2019 to 2022, there is a €7 per megawatt hour improvement in the spread, just power price minus carbon. If I assume that the rest of the costs are fixed, this will be a €450 million, give or take – call it, €400 million to €500 million uplift in EBITDA over that time frame. So, what else should we think about that might offset or taper some of the €400 million to €500 million increase? Otherwise, I guess, it's pretty straightforward.
Markus Krebber: There is one effect which you can be aware of. We said the Hambach restriction effect is about €100 million to €200 million. And we are, this year, at the lower end. So, the negative effect on the Hambach restriction can be a bit higher in the future years. Another one is, we have put many – we have put capacity in the security in the lignite reserve, 5 blocks, 300 megawatt each, so €1.5 billion. And, of course, we get for the first year's compensation for the government that can actually run the optimization, so the cost reduction a bit earlier. So, we will see a slightly negative effect when these payments will roll out. And, of course, then the biggest question mark is what will be the agreement of the German government when to start the phaseout of our lignite capacity. And they are talking now in hard coal starting end of 2022 – 2020. And that could also, of course, have an effect if that also applies to lignite on the 2021 result. But other than that, I fully agree with your calculation.
Gunhild Grieve: Is this fine, Alberto?
Alberto Gandolfi: Really clear. Thank you.
Gunhild Grieve: Yeah, thank you. Next question, please.
Operator: Okay, thank you. There are currently no further questions in the queue. [Operator Instructions]. There are no further questions in the queue. So, so I'll turn the call back to your host.
Gunhild Grieve: Thank you very much. And thank you for everybody participating in the call. Of course, the whole IR team is at your disposal if you have any further questions. And otherwise, we hope to see you soon on the road. Thanks a lot. Bye.
Operator: Thank you for joining today's call. You may now disconnect your handsets.